Operator: Thank you for standing by. And welcome to the Q4 ExlService Holdings Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentations, there will be a question-and-answer session. [Operator Instructions] As a reminder, today’s conference call is being recorded. I would now like to turn the conference to your host, Mr. Steve Barlow. Sir, you may begin.
Steve Barlow: Thank you, Valerie. Good morning. And thanks everyone for joining EXL’s fourth quarter and full year 2021 financial results conference call. I am Steve Barlow, EXL’s Vice President of Investor Relations. On the call today are Rohit Kapoor, our Vice Chairman and Chief Executive Officer; and Maurizio Nicolelli, our Chief Financial Officer. We hope you have had an opportunity to review our Q4 and full year 2021 earnings release we issued this morning. We have also updated our Investor Factsheet in the Investor Relations section of EXL’s website. As you know, some of the matters we will discuss in this call are forward-looking. Please keep in mind that these forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Such risks and uncertainties include, but are not limited to, general economic conditions, those factors set forth in today’s press release discussed in the company’s periodic reports and other documents filed with the Securities and Exchange Commission from time-to-time. EXL assumes no obligation to update the information presented on this conference call. During our call today, we made reference certain non-GAAP financial measures, which, we believe provide useful information for investors. Reconciliation of these measures to GAAP can be found in our press release, as well as on the Investor Factsheet. I will now turn the call over to Rohit Kapoor, EXL’s Chief Executive Officer. Rohit?
Rohit Kapoor: Thank you, Steve. Good morning, everyone. Welcome to our 2021 year-end earnings call. I hope all of you and your families are safe and healthy. The past financial year was truly an extraordinary year for EXL. We have had excellent financial results and our focus on becoming the indispensable partner for data-led businesses is resonating strongly in the marketplace. Our clear sighted investments in Data Analytics and Digital Solutions have been well-timed to address the massive changes happening in the marketplace. Put simply, we thoughtfully and proactively positioned our services and solutions to better address market needs in this period of rapid change. We did this by systematically changing our business model to a data-led value creation business. With each new client engagement, whether we are working with digital natives, digital re-inventors or legacy clients, we now lead with data and digital to drive large scale transformation initiatives and accelerate new market introductions. Empowered by our strength in advanced analytics, AI and the cloud, combined with our deep domain-based operational expertise, we are developing scalable integrated solutions to leverage an opportunity rich demand environment. This allows us to drive new efficiencies, have a much bigger impact on our client’s business, while creating solutions that can be rolled out to clients across a wide variety of industries. We were always a strong Operations Management and Analytics company. We have evolved to become a leading Data Analytics and Digital Operations and Solutions company with exceptional talent. Our strategic shift towards front-ending our work with data and digital transformation have allowed us to surpass our projections, take on bigger and more complex and impactful projects, with shorter sales cycles and deliver higher margins for our stakeholders. Our 2021 financial performance is a clear indication that the rapid evolution of our value proposition is resonating in the marketplace. We generated revenues of $1.12 billion, representing a 17.1% year-over-year on a reported basis. In addition, our adjusted operating margin was 18.6%, which drove adjusted EPS for the year of $4.83, a 37% year-over-year increase. Our Analytics business had an outstanding year with $460.7 million in revenue, representing 27% growth year-over-year. This performance was attributable to multiple expansions within our strategic banking and healthcare clients, increased revenue from our data-led client marketing solutions and continued demand for our payment integrity business. Our digital operations and solutions businesses reported $661.6 million in revenue in 2021, up 11.1% year-over-year. This growth was driven by new client wins from 2020 and 2021, especially within our Insurance and Emerging Business segments. We continue to expand our existing client relationships and build a greater share of wallet. We feel confident that the growth that we have experienced will continue to play out longer term. A combination of healthy growth across all of our businesses and a large pipeline of mature deals that have more than doubled over the past two years are strong indicators of robust demand. In November 2020, at our Analyst Day, we provided medium- term financial performance targets for revenue and margins. Our target for revenue growth was 10% plus per annum, based on our analytics business growing at 13% to 15% and our Operations Management business, now referred to as Digital Operations and Solutions, growing at 6% to 8% per annum. We also targeted and adjusted operating margin of 16% to 17% by 2022. We are updating and increasing our medium-term financial targets. We now expect organic constant currency revenue growth to increase by approximately 200 basis points at the midpoint to 11% to 13% per annum. We believe that Digital Operations and Solutions revenue can grow faster at 7% to 9% per annum, and that Analytics revenue growth will accelerate to 15% to 20% per annum. In addition, we also expect our profitability to improve by 100 basis points. Our new targeted range for adjusted operating profit margin is increased to 17% to 18%. And lastly, in line with our previous goals, we will endeavor to continue to grow our EPS faster than revenue. Behind our financial milestones is the story of breakthrough projects that have increasingly come to define our unique approach to the marketplace. As an example, we were recently selected as the preferred data analytics partner to support an enterprise-wide digital transformation initiative at a major global automaker. The engagement which involves collecting voice of the vehicle data includes billions of discrete touchpoints between drivers and their connected vehicles, consumer shopping behaviors and customer experience data represents the cutting-edge in integrated data and analytics work. We are partnering with the clients to analyze millions of connected vehicles, enhancing dozens of petabytes of data, and top it all, we had an entire solution up and running at full speed in under 12 months. The quality of our work and the ability to tangibly deliver superior business outcomes were instrumental in not only ensuring high customer satisfaction scores, but also resulted in improving employee satisfaction scores within our client directs team. In this engagement, EXL was selected over much larger competitors for two important reasons, one, our AI technology and analytics capabilities were at an advanced level that allowed us to process complex interactions quickly and seamlessly, and two, the confidence that our clients had in our ability to deliver business outcomes and build solutions that are an integral part of our client’s enterprise workflow. The tight connection between digital and analytics and technological innovation were also instrumental in securing a strategic win for our EXL Health business. In December, we were selected by one of the largest consumer-governed non-profit healthcare organizations in the nation to develop a next-generation Care Management Solution. Our deep healthcare domain expertise helped us to redesign how care is delivered to patients by leveraging insightful analytics, cutting-edge digital engineering and platforms and omnichannel operational execution. This solution sits at the center of our client’s value-based care strategy, allowing them to identify at-risk patients, spot gaps in care and drive effective care management. This project is a good example of EXL’s ability to break down silos and create a world-class integrated solution. In this engagement, we extracted real-time patient data, analyzing it to stratify risk and identify gaps in care and manage patient outreach and engagement through our multi-channel combination of automated and human touchpoints. Engagements like this one demonstrate how our roots within a data and process intensive world have enabled us to enhance our Digital Analytics and AI-driven capabilities. These engagements are successful, because of our focus on domain expertise that leads to a comprehensive understanding of our client’s businesses and ensures that we deliver digital transformation strategies that work in the real world. We have continued to invest significantly in scaling digital transformation capabilities as we grow. Notably, in December, we announced the acquisition of Clairvoyant, a global data, AI and cloud services firm. The acquisition adds to our expertise and depth in data engineering and in the cloud enablement space. The addition of Clairvoyant’s talent and capabilities and data engineering and cloud will accelerate our progress on our chosen path of becoming an indispensable partner for data-led businesses. Clairvoyant helps us become an even more effective partner for digital transformation. We can help clients design, implement and operate AI-enabled cloud-native digital processes and data flows. We have integrated our Clairvoyant capabilities in our go-to-market strategy and are in active discussions with multiple strategic clients. This acquisition is performing very well and in line with our expectations. In terms of full year revenue guidance for 2022, we expect revenues in the range of $1.28 billion to $1.31 billion, representing a 14% to 17% increase year-over-year. This implies an organic, constant currency growth of 11% to 13%, excluding Clairvoyant. We expect adjusted diluted EPS to be in the range of $5.35 to $5.60, representing an 11% to 16% increase over the prior year. This aligns well with our medium-term financial targets. Before I hand over to Maurizio, it is important for me to recognize the effort of our entire team for making this exciting transformation possible, despite the obstacles we have encountered over the last two years. I have always been humbled by the quality of contribution and the depth of commitment in our global team. I am incredibly proud of our talent and feel fortunate to be part of this team. We will continue to progress on creating a workplace that reflects our core values of innovation, collaboration, excellence, integrity and respect. Our core belief is to create an inclusive work environment that uses the diverse experience, ideas and contribution of each and every employee. This provides us a competitive advantage and makes up a great place to work for our team. In December, we published our second Annual Sustainability Report, which highlights our progress across key environmental, social and governance performance metrics, and highlights our emphasis on human capital management as a key part of our overall business strategy. We consider sustainability to an -- to be an integral part of how we operate our business and we are keenly focused on continual improvement. To that end, as it relates to environmental sustainability in particular, we announced in our Sustainability Report, our efforts to seek to become a net zero emissions business by 2045. Our commitments to ESG was recently recognized by Newsweek, which named us to its 2022 list of America’s most responsible companies and by Barron’s, who recognized EXL as one of the top 100 most sustainable companies. I feel confident about EXL’s growth and impact in the market. Our capabilities in digital and data are now well established. Along with our leadership in Analytics, we believe that we are uniquely positioned to be an indispensable partner for data-led businesses and to outperform in this growing market. With that, I will turn the call over to Maurizio.
Maurizio Nicolelli: Thank you, Rohit, and thanks everyone for joining us this morning. I will provide insights into our financial performance for the fourth quarter and full year 2021, followed by our outlook for 2022. Our quarter was better than expected with revenue of $295.5 million, up 18.8% year-over-year on a constant currency basis. Adjusted EPS was a $1.21, exceeding the high end of our guidance by $0.03. All revenue growth numbers mentioned hereafter are on an organic constant currency basis. We now refer to our Operations Management Services as Digital Operations and Solutions. Revenue from our Digital Operations and Solutions businesses, as defined by three reportable segments, excluding Analytics, was $165 million, up 12.2% year-over-year. Sequentially, from the third quarter, revenue was flat. Insurance generated revenue of $98.1 million, up 10.5% year-over-year, driven by expansion in existing client relationships and higher volumes. The Insurance vertical, consisting of both our Digital Operations and Solutions, and Analytics businesses, grew 15% year-over-year. Emerging reported revenue of $44.4 million, up 18% year-over-year. This growth was driven by new client wins of 2021 and higher volumes in our travel and transportation businesses. The Emerging vertical, consisting of both our Digital Operations and Solutions, and Analytics businesses grew 24.3%. Healthcare reported revenue of $26.5 million, up 9.7% year-over-year, driven by higher volumes in existing clients. The Healthcare vertical, consisting of Digital Operations and Solutions and Analytics businesses, grew 16.1%. Analytics had revenue of $126.5 million, up 27.4% year-over-year. This growth was driven by over 20% growth in all the major business verticals of Insurance, Healthcare and Emerging. In addition, we saw growth in other verticals, such as Media, Manufacturing and Sports. Analytics now constitutes 43% of our revenue. Sequentially, from the third quarter of this year, revenue was up 3.9%, indicating continued strong momentum and demand for our Analytics services. The Clairvoyant business contributed $1.4 million in revenue in the fourth quarter. Our SG&A expenses increased by 200 basis points year-over-year to 21.4% of revenue, driven by investment in front-end sales, marketing, digital capabilities and employee benefits. Our adjusted operating margin for the quarter was 17%, down 270 basis points year-over-year due to investments needed in ramping up new logo wins in 2021, incremental bonus expense due to the better financial performance and investments in front-end sales and marketing. Our adjusted EPS for the quarter was $1.21, up 6.1% year-over-year on a reported basis. Now, let’s review our full year 2021 performance. Our revenue for the year was $1.12 billion, up 17.1% year-over-year on a reported basis and 16.4% on an organic constant currency basis. Our revenue per headcount improved by 10.3%, growth was broad based across our verticals, and notably, our top 10 clients grew revenue by 21.8% year-over-year. Our adjusted operating margin for the year was 18.6%, up 270 basis points year-over-year, driven by improved gross margin and reduced operational expenses due to the work-from-home environment. Our effective tax rate for the year was 23.1%, down 170 basis points year-over-year. This decrease was driven mainly by lower tax rates in certain foreign jurisdictions. Adjusted EPS for the year was $4.83, up 36.8% year-over-year on a reported basis. We exited the year with a very strong balance sheet. Our cash and short-term investments at December 31st was $314 million, and our debt was $260 million for a net cash position of $54 million. We generated cash flow from operations in 2021 about $184 million. Our DSO at December 34 -- 31st was 56 days. During the year, we settled convertible bonds, walked back $115.6 million of our shares, up from $78 million in 2021 and purchased Clairvoyant for $80 million. In addition, we spent $37 million on capital expenditures, as we continue to invest in the business for the long-term. Moving on to our guidance for 2022, the environment for our services continued to be strong across all our business lines. While the pandemic had eased in the geographies we sell in and deliver from. It is early in the year and we have seen how the pandemic can impact forecast. We feel confident that our business model is resilient and agile, and demonstrated by our 2021 performance and expect the momentum to continue in 2022 and beyond. Rohit reviewed our financial targets for the medium-term, which include accelerated revenue growth and higher profitability. I will provide additional details on our 2022 guidance. Revenue is expected to be in the range of $1.28 billion to $1.31 billion. This represents a year-over-year growth of 14% to 17% on a reported basis and 11% to 13% on an organic constant currency basis. We expect Analytics to grow 15% to 20%, and Digital Operations and Solutions to grow in the range of 7% to 9% on an organic constant currency basis. Our guidance includes $40 million to $45 million of revenue from Clairvoyant, which implies Analytics growth in the mid-20s on reported basis. For 2022, we have made certain assumptions in our expenses. We have factored in wage inflation in certain areas, such as Analytics, AI and cloud to be higher than 2021. We are also anticipating going back to the office starting late in the first quarter with a hybrid model of working either full- or part-time from the office and with some employees remaining remote. This increased utilization of our facilities will occur as the year progresses. Our travel expenses should also increase gradually over 2021 as the pandemic related restrictions are eased, but we do not project returning to the expense level incurred in 2019. We expect a foreign exchange gain between $3 million and $4 million, net interest income of $2 million to $3 million, and our effective tax rate to be in the range of 23% to 24%. Based on the above, we expect our adjusted EPS to be in the range of $5.35 to $5.60, up 11% to 16% from the $4.83 we reported today for 2021. In terms of capital allocation, we continued to invest in Analytics, digital capabilities and technology. We expect CapEx to be in the range of $40 million to $45 million. We anticipate our buyback program will continue at a pace similar to 2021. In conclusion, we have had a very good 2021 year, despite the numerous challenges created by the pandemic and we have demonstrated our ability to quickly align our solutions to market changes, as evidenced by our revenue growth and the addition of 58 new logos in 2021. The outlook for 2022 is solid and our resilient business model gives us strong visibility to drive stockholder value in 2022 and beyond. Rohit and I would now be happy to take your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Dave Koning of Baird. Your line is open.
Dave Koning: Oh! Yeah. Hey, guys. Tremendous year. And even the last quarter, I mean, we were looking, right, you won the most clients in a quarter, I think, in at least five years, your employee count was up by the most in 10 plus years, right? So a lot going right. But -- so my question, I guess is, with all that going right, how do you know that 2021 wasn’t just kind of a reversion, because 2020 was down a little, 2020 up -- 2021 up a lot, but they average kind of normal, how do you know that this is like a sustainably better than normal environment?
Rohit Kapoor: Thanks, Dave. So, there are a couple of factors, which kind of provide us with that level of confidence. Number one is, the amount of business that we have own and the backlog that we have. That’s very strong and very solid. As you know, in our business, most of the deals that we win basically result in revenue being recognized in future periods. So, all the business that we have won in 2021 should really result in revenue growth in place in 2022. Second, the pipeline that we have and the kind of conversations that we have with our clients at this point of time, the pipeline is much larger, much more mature, and the cycle time for sales is reduced sharply. So the speed and velocity at which decision making is taking place with our clients that’s very, very positive and very encouraging. Third, our capabilities and solutions that we have built, they seem to be resonating very strongly in the marketplace, because we are getting a fair amount of inbound inquiry from clients and prospects, asking for those capabilities in Analytics, in Data, in Digital and they can see the client referenceability that we have built with our existing clients, where the customer satisfaction scores are very high, the ability to execute and deliver business outcomes is clearly demonstrated, and therefore, there is a high level of confidence of wanting to engage with us. So when we kind of think about all of these factors put together, that’s very positive and it’s something which we think that this is likely to be a longer term phenomenon. And that’s the reason why we have updated and increased our medium-term guidance, both on revenue, as well as on profitability.
Dave Koning: Got you. Thanks, guys. And then maybe, just one quick follow up, definitionally the new guidance, the 15% to 20% Analytics, 7% to 9% Digital Operations. Is that -- does that include acquisitions or is that organic over time?
Rohit Kapoor: That’s organic constant currency growth, Dave. And on a combined basis, that would aggregate to 11% to 13% and that’s on an organic constant currency basis.
Dave Koning: Great. Thanks, guys.
Operator: Thank you. Our next question comes from Bryan Bergin of Cowen. Your line is open.
Bryan Bergin: Hi. Good morning, guys. Thank you. I wanted to dig in here on the margin side. So can you just give us a little bit more color on how you are seeing the wage inflation environment as far as that incremental wage inflation you forecasted this year relative to 2021? And then, the return to office and the travel expense, maybe help us just as you think about the cadence of this year as kind of operating margin moves forward?
Maurizio Nicolelli: Sure, Bryan. Why don’t I take both those questions? The first one on wage inflation, we are anticipating wage inflation going forward into 2022. We have incorporated that into our 2022 budget and also into our guidance that we given to the street. We have -- we are starting to see that or seeing that, I should say, in particularly a number of different areas and it’s the hotbed areas within our business. It is in our capabilities or in the areas of Analytics, in the area of AI and Digital, and also within our technology group. Those are the areas that we are seeing some significant wage inflation coming into 2022. So, in seeing that, we have adjusted our expense base and have projected higher compensation for those areas going forward within our budget and included -- it’s included within our guidance. So those are the areas that we are seeing that happening and the areas that we are making adjustments into to mitigate that going forward so that it doesn’t affect our business. In terms of travel expense and also back to the office. First off, on back to the office, we are -- we will start migrating back to the office slowly throughout the year. We are putting that process in late Q, first quarter really in the month of March, but that’s really starting out in the voluntary basis and really gradually doing this. So this is going to progress throughout the year. At the endpoint, we have thought about what our endpoint is in terms of how we operate going forward. And in general, after speaking to our clients and also doing a lot of work internally, it really comes down to a structure of potentially a third in the office full time, a third on a flexi model and a third working from home. But we are going to migrate into that and that’s going to happen throughout the year, starting in the first quarter. In terms of travel, you are going to start to see travel expenses start to come back into our P&L. We do -- we are going to start to do a bit more of travel, especially visiting our clients and having our clients visit us in our centers, but we do not anticipate going back to the same expense level that we were at in 2019. We do believe that the world has changed and also our clients, in terms of their level of wanting to travel also has changed. So we are we are basically adjusting with the whole environment around us and we do believe that a travel expense will start to come back, but nowhere near where it was in 2019.
Bryan Bergin: Okay. Just kind of digging in there on the gross margin side then, obviously, you guys did very well in 2001 above 38%. I presume wage inflation pressures out there, but what are you thinking about a sustainable gross margin level within the context of that 17% to 18% target?
Maurizio Nicolelli: And so when we look at gross margin in terms of that construct, it would be fairly similar to 2021, with maybe a slight improvement. But when we think about gross margin, it really is -- it really would be barely comparable, I would say, to 2021, even with wage inflation, because we will continue to grow our revenue base and get some leverage out of that.
Rohit Kapoor: Let me add to that, Bryan. One of the things which we are seeing is that, with general inflation being high in the U.S. as such, the propensity for our clients to agree to changes in our pricing is much, much more accepting and much more understanding. So, we do think we will be able to benefit from some of the COLA increase in our provisions that we have in our existing contracts, some of the changes that we would need to make to our rate card and to our pricing and be able to pass that on to our customers, and be able to have a commercial arrangement that will allow us to be able to maintain the high quality of service, the innovation and the value-added work and do that at a reasonable price point. So, frankly, there’s going to be a play, which is going to be there, both on the expense management side, as well as on the pricing side.
Bryan Bergin: Okay. Great. Thank you very much.
Operator: Thank you. [Operator Instructions] Our next question comes from Maggie Nolan of William Blair. Your line is open.
Ted Starck-King: Hey. It’s Ted on for Maggie. Thanks for taking our question. Rohit, you talked about developing scalable solutions that could be used across a wide variety of industries. I am curious, is that creating opportunity to decouple revenue growth from headcount growth through some of those solutions that you are providing to clients?
Rohit Kapoor: Yes. Ted, that’s a great question. So let me just try and elaborate on that. One, when we create an industry solution, our ability to leverage that across multiple clients becomes far more scalable and it certainly delinks completely the revenue growth from the headcount growth. You will see that, in 2021, our revenue per employee has increased quite significantly by approximately 10%. So it’s a big shift that’s already taking place and it’s visible enough in our financial statements. The other piece is, the ability to apply and leverage solutions from one industry to another industry is also becoming more and more prevalent, and something that our clients can take advantage of, and we can be a lot more helpful to them with. So, for example, in order to improve customer experience, if we apply certain solutions in one particular industry, the same solution is actually applicable in other industries, because the end goal is the same, which is of enhancing end customer experience. And, therefore, it allows us to play in a much larger field, it allows us to replicate these solutions without necessarily taking up our employee headcount correspondingly and it provides for much greater leverage as we get into these database and digital solutions.
Ted Starck-King: Great. That’s helpful. I wanted to ask about the pipeline, what are you seeing in terms of the mix of project work, and first, annuity type analytics fields, do you expect the one-third, two-thirds ratio to change? And then how should we think about the cadence from Analytics and Digital Operations in 2022? Thank you.
Rohit Kapoor: Sure. So on Analytics, we continue to see the same trend, which is we will typically engage with a new customer with essentially project based work and that quickly translates into an annuity based relationship. The overall mix between one-third project base and two-thirds annuity base work pretty much holds true for us. What we are seeing is, as we provide greater insight to our clients leveraging data analytics, our clients are coming to us and asking us to take those insights and deliver the full business outcome to them, and therefore, give us responsibility for managing that process end-to-end. And that’s, again, a very positive trend that we are seeing, where the engagement on analytics can lead to us getting more work around Digital Operations and Digital Solutions, and that works really, really well. So, frankly, our Analytics business right now is growing very rapidly. It’s something which we have acquired a leadership position in. It is something which we deliberately invested in for the last 15 years, and right now, it seems to be playing out very, very well for our clients and for us.
Ted Starck-King: Great. Thank you very much.
Operator: Thank you. Our next question comes from Vincent Colicchio of Barrington Research. Your line is open.
Vincent Colicchio: Yeah. Rohit, a follow-up on an earlier question, so what portion of your contracts have COLA adjustment, say, a year ago versus now? And another part of the question is, do most of your contracts have COLA adjustments right now, most of your new contracts?
Rohit Kapoor: Sure. So, Vincent, all of our existing contracts, which have COLA adjustments, those, of course, kick-in and continue to be in force. But in this environment of heightened inflation expectations, all new annuity and long-term contracts that we are signing do have in general a COLA clause built in into it. We don’t really share the percentage of contracts that have COLA elements in it. But you are aware that, we have about a third of our business which is on the basis of transaction base and outcome base pricing models and two-thirds of it is based on long-term annuity contracts. We think the way in which our contracts are spread out, it gives us an opportunity to renew these contracts at price points, which are going to be higher, taking into account the changes that have taken place in the underlying cost dimensions. So, frankly, the COLA part protects us and then the fact that our contracts are well spread out over the next three years, each time there’s a renewal, it allows us to be able to reset the pricing with our clients accordingly. So, frankly, we feel very good about how our business is structured and set up, so that we can adjust total to the market needs appropriately.
Vincent Colicchio: Thanks for that and one follow-up. So the tight labor market, to what extent do you think you are benefiting from clients having a hard time doing things digitally internally, because of the shortage and so turning to you as a result?
Rohit Kapoor: Oh! Absolutely. I think that is a huge driver of demand. I think there is a big talent war that is out there, and particularly, in Data Analytics and in Digital, being able to recruit is a big challenge for our clients. Our ability is a lot, lot better, because we have established a very strong brand with our employees, the kind of growth that we can promise them, the kind of quality of work that they can have, the kind of work environment that they have and the culture of our organization, these are strong motivating factors for us to be able to attract very, very good talent. We have built up pipeline of talent, hiring from premier colleges and universities, and our ability to train and upskill the workforce, that’s also very, very significant. So, frankly, this is driving demand and we are very well-suited to be able to help our clients in this time period of working on these projects and doing that at scale and doing it with speed.
Vincent Colicchio: Thank you. Nice quarter. Thanks for answering my questions.
Rohit Kapoor: Thanks, Vincent.
Operator: Thank you. I am showing no further questions at this time. Ladies and gentlemen, this concludes your conference. Thank you all for participating. You may now disconnect. Have a great day.
Rohit Kapoor: Thank you.